Henrik Andersen: Good morning. And welcome to our Presentation of our Q3 2024. Surely, it’s a special day with circumstances later in the U.S., 5th of November, Election Day. I’m sure we’ll talk more about that. Can I also here just take the opportunity to thank our partners, customers, our new and old colleagues for being in a busy Q3 and also a very busy and packed Q4 in this year. With that, I would like to go to our key highlights for Q3 2024. So, we had revenue of €5.2 billion. It’s an increase of 19% year-on-year, driven by higher prices and higher volumes on the deliveries. We had an EBIT margin of 4.5%. Higher activity and vendor underlying performance improved EBIT margin by almost 3 percentage points year-on-year. The Service EBIT margin ended at 16%. The Service profitability reflects the ongoing scrutiny to improve the operational efficiency. We’ll speak more about that later on. The order intake ended at 4.4-gigawatt. Flat order intake year-on-year leads to an all-time high turbine backlog of more than €28 billion in the quarter. Then we are ramping up manufacturing in the U.S. and in Europe. That means also we are onboarding colleagues and ramping up is also always challenging, but we also continue to make progress in both the on and offshore. And then, of course, for the outlook 2024, revenue and EBIT margin guidance maintained with adjustments to the Service EBIT as a reflection of the quarter and the total investments. We’ll speak more about that in the end. I would like then to take you through what is the current business environment we are seeing and experiencing. On the global environment, we still see raw material and transport cost being stable, of course, with regional variations to that theme. I think on the ongoing geopolitical and trade volatility, I think it almost speaks for itself, because, of course, we see a number of discussions and also in the current election, we see that being discussed. The overall inflation is overall declining, but there are still specific components that are rising or having a variable to that theme as well. On the market environment, grid investment is being discussed, also prioritized in key markets, but often building on a weaker foundation on the grid. The permitting is improving in some markets, here especially Germany and U.K., but overall the permitting, auctions and grid are still proving to be challenging factors when we see projects being up for permitting, or for that matter, through the transmission on the grid. On the project level side, Q3, we’ve seen some regional disruptions, continues to threaten supply chain. We had a bit of a stop and go in and around the threat of a strike in part of the U.S. harbors, but then outside that, we’ve actually seen a pretty stable and a good execution in Q3. Then, of course, we also continue to see the execution of the low margin projects that are finishing by end of this year, and of course, we welcome that, and you can also see from Q2 to Q3 our improvement in the Power Solution business. So, with that, Power Solution, I think heading here, Q3 is still commercial discipline maintained. So when we look at the Q3 order intake of 4.4-gigawatt, that was stable compared to last year. Good market activity to be driven by onshore in all regions, as well as two offshore projects, including our first offshore project in the U.S. The ASP on new orders was €1.1 million euro per megawatt in the quarter. The order backlog in Power Solution increased to an all-time high of €28.3 billion, up almost €7 billion compared to last year as our energy solutions continue to have good traction with customers across our core markets, as you will be able to see here to the right. Also, just once here to make a bit of a special shout-out for Germany and, to some extent, the U.S. Often you don’t see Germany due to the order size, but of course, here increasing and also seeing an important part of the 700-megawatt of unannounced orders in the quarter, and it’s a market where there is a real traction and a real ramp-up in volume directed from the current government. With that, Service in Q3 2024. Clearly the operational efficiency, we are scrutinizing the Service business to address the cost too high. It will take time to fix, but several steps have been taken, including some organizational changes in the Service business. The Service order backlog increased to €35.1 billion, up from €32.4 billion a year ago. At the end of Q3, Vestas had 154-gigawatt on their active Service contracts. You can see the splits to the right here, and again, here the average year’s contract duration is sitting at 11 years. Then on the Service side, the Vestas Development in Q3, so generating good order intake in Vestas Development. So in Q3, Vestas Development generated 324-megawatt of order intake for Vestas, including the announced Lotus Creek Wind Farm in Australia. Lotus Creek is the first project developed by Vestas Development in Australia to reach financial close and construction readiness. We look forward to delivering the first turbines to our customer, which they see as energy in 2026. At the end of Q3, Vestas pipeline of development projects amounted to 28-gigawatt, with Australia, U.S. and Brazil holding the largest opportunities. You’ll see the breakdown here to the right, and as it goes without saying, as we’ve said also in the previous quarters, discipline on development projects is also key with some of the macroeconomics that changed from the increasing interest. Having said that, in the key markets, any development project that gets to a permitted status is actually in very high value with our partners, which we then offer across our group of partners in the regions. With that, let’s go to sustainability in Q3. So, the lifetime CO2 avoided by produced and shipped capacity increased by 45 million tons compared to a year ago. You can see that to the right. The carbon emissions from our own operations increased by 4,000 tons year-on-year due to increased activity predominantly in Service, but also in the Offshore Service and Construction. Number of recordable injuries per million working hours declined to 2.8. We tirelessly work to improve our safety performance across our entire value chain. And I’ll also here mention in especially it’s important for us quarter-on-quarter when we onboard so many new colleagues. You will see that we have now passed 33,000 colleagues globally, which is a reflection of the ramp up that happens in both the on and offshore. So that also means arriving, working and returning safely to your families for any Vestas member here and colleague is key for us. With that finished for my section, I’ll pass over to Hans on the financials.
Hans Smith: Thank you, Henrik. And we go straight to the income statement where we can see that revenue increased 19% year-on-year, driven by the higher volumes and the higher average pricing that we have been pushing through in the last couple of years on our turbine deliveries and Power Solutions. Gross margin was 10.5%. That’s roughly a 2.5 percentage points increase from the 8.1% we were at last year. The improvement was driven by increased activity and better underlying performance in the Power Solutions segment, but then slightly offset by lower profitability in Service. EBIT before special items tripled to €235 million, up from the roughly €70 million we had last year, equivalent to a margin of 4.5%. This results importantly in a return on capital employment improvement by more than 9 percentage points. That takes us to the 2.1% that you can see over there on the table. In the Power Solutions segment, revenue increased by 24% year-on-year, driven by higher deliveries across many markets, such as Canada, Germany and France, but also by the higher average pricing that we are seeing on the deliveries. EBIT margin before special items improved 5 percentage points year-on-year to 4.2%, driven by the improved profitability, the good project execution and the benefits from the operating leverage that I also mentioned before on the activity level side. Nonetheless, in the quarter, as we have said before, profitability is still hampered by completion of low margin projects from mid-2022 and earlier, but as we have also been talking to, we expect these to be lastly completed by the end of the year. In Service, revenue declined 1% year-on-year in Q3, disregarding currency, revenues were on par with last year, but we are seeing lower contract activity being offset by higher transactional sales in the segment. Service generated an EBIT margin of 16%, which corresponds to an EBIT in absolute euro terms of €148 million. The Service margin improved in Q3 compared to Q2, but slightly slower than expected due to higher costs in EMEA and Americas regions that we experienced as part of the operations scrutiny of Service that we initiated earlier this year and that you were also referring to earlier on your slide, Henrik. On the cash flow, the operating cash flow improved compared to last year to €89 million in the quarter, driven by the improved profitability that we have observed. Adjusted free cash flow amounted to minus €224 and that is also an improvement compared to last year. And importantly, when we look at the year-to-date cash flow, that amounted to minus €699, but actually that is a €1 billion improvement compared to the same period last year. This is also what you see in the table there to the right, reflected then in our net interest bearing position, which is also improved compared to one year ago. That takes us to the net working capital, where it increased during Q3 due to a decrease in the level of customer down and milestone payments that were then partly offset by a reduction in inventories, as you can see there on the slide to the right. Generally, I would say, we are looking at the usual working capital release expected in the last quarter of the year, so in a lot of ways reflects a typical way of how Vestas works. Going to the investments, we can see that they amounted to €272 million in Q3. We are facing ramp-up challenges in both the offshore and the onshore segment, but we also continue to make progress in our ramp. The 236 offshore manufacturing platform in Europe remains a considerable driver of these investments, as we prepare for the first deliveries to the two projects at He Dreiht and Baltic Power, whereas in the U.S. on the onshore side, our production is increasing. We have added extra shifts that allows us to utilize a larger share of our capacity and our footprint that we have in the American market. That takes us to provisions and LPF, where we can see that the LPF continues to improve, which is a sign that our continued and increased focus on quality in recent years is working. And over time, of course, an improved LPF should also lead to lower warranty provisions. But in the quarter, we have made a specific provision for an offshore-related component at two sites and this is the main driver for the elevated warranty cost that you can see here. Warranty cost, they amounted to €313 million in the quarter. That corresponds to 6% of revenue, but actually that is on par with what we had last year. That takes us to the final slide in the financial section, the capital structure, where we can see that as a combination of the better profitability that I have spoken to, as well as the cash flow, we have an improved net debt to EBITDA that ends at 0.9 times, compared to the 3.6 times we were at a year ago. Let me finally mention our Moody’s investment grade rating of Baa2 that has a stable outlook. And then I give you back the remote Henrik and back to you.
Henrik Andersen: Thank you so much, Hans. And therefore -- thanks, Hans. And therefore, over to the outlook for the year. Revenue is in the range of €16.5 billion to €17.5 billion with Q4 remaining. And the EBIT margin before special items is sitting at 4% to 5%, where we are also saying that the lower end is more likely with the adjustment we also hear showing on the EBIT from the Service business to now be around €450 million, where we previously had €500 million when we came out of August Q2. The total investment, as Hans already mentioned, we’re saying approximately €1 billion versus the previous one, which was €1.2 billion. And of course, all of that based on the current foreign exchange rates as we see it currently, and of course, as also looking into a busy Q4 ahead of us. With that, thank you so much and I will pass it to the Operator, and of course, the Q&A with that.
Operator: [Operator Instructions] This question is from Martin Wilkie from Citi. Please go ahead.
Martin Wilkie: Yeah. Good morning. Thank you. It’s Martin from Citi. The first question…
Henrik Andersen: Hi.
Martin Wilkie: … I had was on the Service business. It looks like from your guidance that you are implying that the margins in the fourth quarter are back up to close to 20%, if you can just confirm my math is correct on that one. And what gets you there, and I think we need to understand a little bit more as to what drove the weaker margin in the third quarter. Was it a sort of mini version of what you had in Q2 with a reassessment of cost over the life of the contract? Were there some other factors that dragged it down? So just to understand in a bit more detail what pulled that margin down to 16% in the quarter and why it then rebounds in Q4? Thank you.
Henrik Andersen: Yeah. So thanks for the question, Martin. First of all, to make a long story short, I can also make the calculation that you’re making, and of course, there can be a degree of variability in it. But of course, there are moving parts. But on the margin side, that is kind of how you think about Q4 in rough terms. So that’s, I guess, the first question. Question two then on what drove the 16%. I guess it is a lot of the same things as you saw in Q2 as well. We have been scrutinizing the business, as we said. And as part of that, we can see still that, say, continued inflationary pressures and some of the same issues on quality, as well as, say, efficiency, what do you call it, mechanics that we’re still working on. So in a lot of ways, it’s pretty much the same things. Although, of course, at a much, much lower level here in Q3 than what you had in Q2. I would like to highlight at the same time we still see the Service business as a good business, but of course, as we’ve also been saying, it’s going to take time to scrutinize and work with these things? That’s also clear.
Martin Wilkie: And just on that point of it taking time, does that mean that there are more contracts that will get incrementally scrutinized over the coming quarters or is it just more that you’ve now sort of reset the expected gross margins in those contracts and that the sort of actual activity takes time? And just understand what that over time means in terms of how we should think about the profitability of the business?
Henrik Andersen: Of course, we are, say, working with and scrutinizing and assessing the business. And that means in this quarter that has led to the 16% margin that we had. We are at the same time clearly of the ambition or having the ambition that we want to improve the business and do better. But in this quarter, the scrutinizing has led to then, say, the lower than expected margin that you can see there.
Martin Wilkie: Okay. Thank you very much. And if I’m allowed a question on Power Solutions as well, again, you’ve got a sharp pickup in margins implied in the fourth quarter. Can we sort of infer from that that the warranty provision that you saw in Q3 was kind of a one-off and therefore you’re expecting us to go sort of back on track with the phasing of the backlog improvement and so forth to then leading to that pickup in profit in the fourth quarter?
Hans Smith: Thanks, Martin. I think that you can assume and I think here also we can see with the detail we are providing on both the LPF and also on the warranties that it is a specific case. And you will see, of course, the warranty provision being made in Q3. And then we will consume because the repair and replacement is under the way in the following couple of quarters. So that’s a fair assumption. And of course, then we have a visibility of what we are executing on in the Power Solution for Q4, which so far is very positive.
Martin Wilkie: Great. Thank you very much.
Operator: The next question is from Kristian Tornøe from SEB. Please go ahead.
Kristian Tornøe: Yes. Thank you. Also a couple of questions from my side. So just to get back to the Service cost here, you also mentioned organizational changes. So is there an element of sort of restructuring cost in the quarter as well, which also explains why the margin was better in Q4?
Hans Smith: No. Not in that sense, no. When you talk about organizational changes, it’s literally about who has had what responsibilities and what that has led to changes across our five regions and also across the Service business.
Kristian Tornøe: Okay. Understood. And then on contract assets, that increased versus Q2. So I would expect that your inflation indexation contracts would eventually start to accelerate your billings and hence make it go down rather than go up. So can you just help us a bit on the dynamic here?
Hans Smith: Yeah. So on the contract assets, it’s true they increased in Q3. But let me make clear that the majority of this increase was actually from the Power Solutions business and not from the Service business. You’ll get more details on this question in Q4 when we report it as part of our disclosure there, as we always do in the annual report.
Kristian Tornøe: Okay. That makes sense. And then just my last question on U.S. order intake and sort of your expectations for the end of the year and whether there is any variability to your expectations depending on today’s outcome.
Hans Smith: I don’t think there’s any of the order intake that is depending on today’s election, Kristian. I think anything that gets permitted or also get grid approval in the U.S. gets built very fast. There is a general need and also demand higher than the supply right now for new green electric plants, among other things, to data centers and others. So in the U.S., that runs as we will see. And so far, so good this year. And as you can also see here, we’ve had a steady flow of orders in Q3 and we expect to see some of the same thing in Q4.
Kristian Tornøe: Understood. Thank you.
Operator: The next question is from Claus Almer from Nordea. Please go ahead.
Claus Almer: Thank you. Yeah. Also a few questions from my side. The first is like a question about the outcome of the election, not who wins, but more for you. How should we think about the conversion of pipeline to firm orders in Q4? Should we expect kind of what we saw in Q4 last year, or are we at a different level? That would be the first question.
Henrik Andersen: Thanks, Claus. I was just about to reply back. Your guess is as good as mine. But I think, as you also would appreciate, we work diligently with the order intake. Last year, as we also said, there was some larger orders that came through late in Q4. There will always be some of those larger balances there. So I think the more important thing for us is that you see the steady flow of the orders in general and that’s what you should be expecting. Then we don’t comment on the other things, because we simply can’t predict it. I mean, if some of the larger things come through, I can’t say, and we don’t give that guidance. We got 60 days, a little less to 31st of December. And guess what? We will do everything we can to progress the orders in the U.S., which I know, because we had our regional CEO here in Copenhagen yesterday and today. So he’s returning tonight.
Claus Almer: Maybe, if we just may try to get a bit of color to this, let’s assume, looking at your pipeline, that the conversion of projects is going as hoped for, at least. Could we see an order intake like last year or that’s totally out of the question?
Henrik Andersen: Claus, I won’t comment on it, because right now it is like this. Whenever the project has an approval of the grid, you generally see it moving immediately to an FOI with the partners. So projects are just, unfortunately, some of them are being held in the queue and unless that queue comes through before 31st of December, I will either disappoint or guide you wrong. I think on some of these things, the majority of the volume comes from the average size and then you get some of these giga things, which I won’t predict on. The average size will just continue running with stable volume, as you have seen in the last quarters.
Claus Almer: Okay. It was worth a try. Then my second question is also…
Henrik Andersen: Also well enough.
Claus Almer: … about the contract assets. So the main driver behind the growth versus Q2 is the Power Solutions. What is behind that growth?
Henrik Andersen: As I said before, Claus, we will come back to the more detailed disclosures in the annual report about what goes into that category.
Claus Almer: I’m not asking about the numbers, but just the reasons why it went up in Q3. That’s more what I’m asking for.
Henrik Andersen: It’s part of the normal development. You see finishing projects in Q4, Claus. But we can give you some more details also as we get done with Q4.
Claus Almer: Okay. That was all from my side.
Operator: Next question is from Deepa Venkateswaran from Bernstein. Please go ahead.
Deepa Venkateswaran: Thank you. I had two questions. So, firstly, just on the guidance downgrade going towards the lower end of the range. Just to confirm, this is because you expect the Service costs to be higher and the extra warranty provision that you’ve made on offshore. Is that the main driver? So if you could just confirm that. Secondly, it is related to the U.S. As you know, one of the candidates is very keen on imposing tariffs. Could you confirm for your U.S. what proportion of the COGS come from outside the U.S. and particularly China? Thank you.
Henrik Andersen: So on the first one, obviously, when you have the impact that we’re seeing in this quarter from the blocks that you mentioned, that also has an impact on the guidance range that we’re looking at. I think that’s quite obvious. So I think that’s in a nutshell the answer to the first question. And then on the, say, split of the COGS that we’re seeing in between geographies, that’s not something that we are typically disclosing from our end. So I don’t have a straight-out answer to that at this point.
Deepa Venkateswaran: If -- sorry, if I may just have a follow-up on that. In the U.S., if tariffs were imposed, would there be any way for you to pass those tariffs to your customers for the orders you’ve already received or would that be margin dilutive?
Hans Smith: Deepa, that is simply too specific, because you -- we found it, we also found it with the current administration. They also imposed increasing tariffs. So I think from learning from the last two administrations in the U.S., it has become a more natural part, which is also why you try to exclude more and more volumes and more and more components from China origin when it’s about the U.S., which is also an underlying strength and also support for our ramp-up of the U.S. factories for exactly the same reasons.
Deepa Venkateswaran: Okay. Thank you.
Operator: The next question is from Ajay Patel from Goldman Sachs. Please go ahead.
Ajay Patel: Good morning. Thank you for taking my questions. I’ve got a few. Let me start off with just the guidance. So, I think, today the feedback I’m getting from clients is that the Service margin was disappointing relative to that 18%, 20% guide that we were maybe talking at Q2. And then another question, I’m getting is more the sort of implications of a 12% potential margin in Power Solutions in Q4, which is what’s implied in the guidance. So what -- the two things I sort of want to ask is, firstly, on Service, is that 18% to 20% guide that you were giving to Q2 still apply and that it’s basically Q3 that’s been hampered by additional costs and more of a one-off and at the trajectory we should think medium-term is still of that order of magnitude? And then secondly, on the Power Solution side, what proportion of Q4 is hampered by legacy projects? Is it similar to Q3, because if you’re potentially attaining a 12% margin at the bottom end of the guidance range, that does really bode well quite strongly for 2025? So I just want to understand if there’s anything that maybe is distortive of that number that would help us try to think about the more medium-term profit evolution of this business. And then on warranty costs, is there any chance you could give us what the warranty cost, the proportion of revenue would have been without the offshore adjustment, so that we can get a better idea of the underlying trend rather than maybe one that has a one-off charge in it?
Henrik Andersen: Thank you, Ajay. I will start in the reverse order. I will just start on the warranty cost. I think we are giving an enormous breakdown in details of already what we are giving here. So when it is that selected and that particularly a case, we won’t give more breakdown. You got the previous quarters and we are pretty specific. When we have exceptional cases like this one and then your -- I’m sure you will do your own implying, because not much else has changed in the quarter. On the implied Q4 margin, don’t forget it is two quarters, and we said all along for this year, please don’t make sort of averages or assumptions between quarters, because there will be quarters, there will be projects that is implied for the Power Solution. I will give you that one that a lot of questions happen in and around Q2. Have we seen turning the corner in the Power Solutions? And I think we delivered the evidence of that in Q3, that we have progressed five full plus percentage points on the Power Solution s on the last four quarters on a pretty comparable term. And that means now in Q4, yes, we see increasing operating leverage of the volume. We also see a good traction. And then I think for the first time, at least in our number of years, we see this execution where we have very little differences when we execute and complete the projects. So for us, that is actually what gives us the visibility in Q4. And you’re absolutely right, coming with still the same commercial discipline. Of course, the Power Solution is also absolutely critical and key to get it right in the onshore and the profitability. So with that, we’re very, very, very encouraged by Q3. On the outlook for Service, come on, I’m the one together with Hans that is most sort of disappointed by that. We are sitting at 16%. We’re simply doing the scrutiny. We are doing everything we can across the businesses. We are also going through it. Some of the places we have found more inefficiencies or people that haven’t done what they are supposed to be doing and I think that we are addressing. And then, of course, we are also addressing the underlying, which is there are parts of the businesses where costs are running high or too high. And that, of course, we are addressing head on. It implies where we are now. Was that too early to say after Q2? And was it 18%, 20%? It came out at 16. We will show you the percentages on the quarters we go. But we also now have to assume that it is a bit more cumbersome and a bit more turnaround situation in some of the businesses we are working in, and that, of course, we are addressing.
Ajay Patel: Can I just maybe just double check? We have understood that in the Service side.
Henrik Andersen: Yes.
Ajay Patel: Is it fair to say that that assessment hasn’t fully completed and that there is the chances that there may be incremental costs to come or is it that we have done a large portion of that work in Q3 and we move forward with a page turned over? And then on the OEM margin, just to be specific, I just want to make sure I understand. So Q4, assume next year you have exactly the same volumes, you have the same benefit from operational leverage, would we -- should we be thinking about margins improving from that implied margin just because there is no legacy projects there or is that too simplistic?
Henrik Andersen: Too simplistic. And why is that? Because you get an inter-quarter. You always get now a balance between what areas are actually executing and there will be differences. You can’t apply averages to this in the sense of. But I think we can also herefore assume that what we have been working and explaining so tirelessly quarter-on-quarter for the last three and a half years to get the profitability and also the commercial discipline back in Power Solutions. That we can probably say now mission completed. And then on the percentage size, on a day like this where you got a U.S. election, I still have to remind people this is a pretty volatile world to execute projects in. So that’s surely one. On the Service side, we are doing the diligent work. We are well progressed in it. We have addressed where there are issues and where we have found issues. We did that in Q2 as well. Therefore, it’s also with some disappointment that we stay here in Q3. We are not where we wanted to be. But we are back at 16% and we will share and show that quarter-on-quarter with you going forward as well.
Ajay Patel: Okay. Thank you very much.
Operator: The next question is from Dan Togo Jensen from Carnegie. Please go ahead.
Dan Togo Jensen: Yes. Thank you. A couple of questions from my side as well. Maybe just on the warranty provisions again here. To follow up on what you say here, Henrik, not much has changed. So if I just apply the more than 4% warranty provision you had in Q2 and take the 6% you have here in Q3 and calculate my way through, I get a difference of almost €100 million. Is the math wrong here? And can I assume that that applies to the, so to say, the extraordinary provision that you make? That’s the first question. And then maybe some wording on the 3% target you have in terms of warranty provisions. Is that too much to hope for, so to say, in the longer run, because you can argue something always goes wrong. That would be the first question.
Henrik Andersen: I’ll pick up on your last comment, something always goes wrong. Come on. When you do what you’re doing here, your math, I can’t comment on it, Dan. We are so transparent in the warranty. And in this case, when it sits in and around maybe a few customers and a few wind parks, it’s simply not fair to ask us to comment on specific breakdowns or specific split on that. We’re saying there is an issue. We know what it is. It’s a very limited and restrictive part of a batch and we are replacing it. That’s it. On the warranty overall, I think here the 3% target long-term is still a thing we are doing. The 3% as a percentage is a percentage chosen. And then that, of course, is somewhat better than what we are seeing currently. What I think here, the leading for us is right now the LPF. It’s coming down. It’s still trailing downwards. And that’s the positive of all of this because that means we are addressing the underlying quality challenge we have also discussed now for a number of years. So the underlying trend there is positive. But it will take -- again, it takes some time until you hit the 3% target. That’s, again, the right thing. But we are making progress.
Dan Togo Jensen: Then a question on Service. The €50 million reduced guidance here, how much of that is or you can say this lower Service margin here in Q3 you described, how much is impacted by POC or what is the POC element? That is one question. And then the final question would be on you mentioned, Henrik, or I think it was you, Hans, who mentions ramp-up challenges in your statement. Can you elaborate a bit on that? And is there anything of this that relates to the reduced CapEx that you made from €1.2 billion down to €1 billion? Anything in the ramp-up we should be aware of that is postponed? Some wording on that could also be nice. Thanks.
Hans Smith: So, perhaps, I’ll take the first one on the Service. So, of course, then when you look at the margin we have in this quarter and as we also say it is disappointing, I should say, coming back to the mechanics I mentioned earlier on, the impact from that is, of course, linked to the same way of working with costs and our scrutiny of all this, as you also saw in that you got explained in Q2. So, of course, when you look at the difference now in how we see the business compared to, say, a quarter ago, it is, of course, fair to assume that due to these cost challenges, that is also what is driving, say, the majority of the effects that you’re seeing there, both in Q2, but, of course, also what we’re looking at for the full year change that we’ve made. And then on the ramp, Henrik.
Henrik Andersen: Yeah. Thanks. On the ramp, when you look at that, I think, we’re also saying here we talked about the ramp. We also talked about it 18 months ago when we were trying just to get minimum activities in. We are in Q3 where we in a number of the factories have either split the current shift into two and therefore adding additional employees in. You can see it in our employees across Vestas. It goes up with a number of our colleagues in the factories. We got a strong U.S. footprint that is now split both in nacelle and in blades. But when you do that, you also come into exactly the same, which is that you have a lot of experienced colleagues that are joined by new colleagues and not all of them are fully trained and fully up to working on either blades or nacelle from day one. So that’s just one of the tedious things. It works really well on paper when you have 400 and you divide them by two and add another 400 divided by two in the shift. But it doesn’t work like that in real life. But we have progress. We are super impressed with what factory managers are doing with it. But of course, there are some additional costs coming from that. We know one thing. If you try to cut corners in the ramp, it comes back and bite you much, much more expensive when we look just a year or two ahead. So therefore, the ramp has to be done with exactly the same input on both quality, and of course, safety for our new colleagues coming into the factory. So that’s one instruction everyone has to live with. I might want just to say to everyone here, can we just still keep the discipline around having two questions? Otherwise, I feel a bit for everyone in the queue.
Dan Togo Jensen: Just a word on the CapEx below.
Henrik Andersen: On the CapEx, no, Dan, that’s just timing. It is nothing to do with any of that. It’s typically timing when you come to this part of the year. If there are something where you plan for tools or some part of it on and offshore, if that slips into next year, then it’s a carryover into next year and that’s what you can assume. So there’s no particular things that have been stopped or extended by what you see here.
Dan Togo Jensen: Understood. Thank you.
Operator: The next question is from John Kim from Deutsche Bank. Please go ahead.
John Kim: Hi. Good morning. I’m wondering if we could just talk a bit about the leverage you’re throwing into Service. You spoke to organizational changes and improvement in quality LPFs and provisioning. I’m just wondering where are you in that journey and how you’re tracking? Should we be thinking multiple years, multiple quarters? Any guidance here would be helpful. Also, some color on existing product lines versus newer product launches would be helpful? Thanks.
Henrik Andersen: I don’t see necessarily the organizational changes fixing the underlying issue here, John. When we make organizational changes at this level, it’s not like we are taking resources out or in. This is a pure reflection of that we are changing competences and level and people responsible for certain parts of the business. What you will normally do when you find things that needs turnaround or changes, that, of course, people needs to settle in and get going with that. We don’t have any new product launches outside the one you already have in the market, and as I said, I don’t think timely right now it’s talking about new product launches. It’s talking about ramp up of the new product launches we have spoken about previously. So that’s the short status of that.
John Kim: Okay. When do you think Colorado will be at a capacity level you’re happy with or when do you look to complete hiring?
Henrik Andersen: With all the people that are listening in to this call, I will keep that for Vestas. In reality, we are ramping up. You can see we are getting people in Colorado on both a weekly and a monthly basis. We are happy with the progress so far, but we still feel that we have more to go and you can also see it. If you look down on both the order intake and also the table of deliveries, you can see it is actually a pretty steep ramp from where we came from to where we are today and that also goes for us and it goes together with our partners we work with.
John Kim: Okay. Thank you.
Operator: The next question is from Akash Gupta from JPMorgan. Please go ahead.
Akash Gupta: Yes. Hi. Good morning and thanks for your time. I have a follow-up on Service. In second quarter, you had €316 million catch-up effect from POC. Was there anything in third quarter that might have impacted your revenues and profits, and if it is, can you specify the amount? That’s the first one. Thank you.
Hans Smith: Yeah. So I think we somehow had to say it’s a slightly different version of that question before from then, and Akash, to that point, of course, in Q3, if you look at the margin that we’re experiencing in the quarter, which, as we have said, is below what we would have projected, the effects from that is clearly linked to some of the mechanics that we have seen on the cost being too high and the fact that we have been continuing to scrutinize the business. It is, I would say, a good business, of course, but the scrutiny continues, and as part of that, yes, then we have had these cost effects also in Q3 and that is why you then arrive at the 16%. So that’s, I guess, the short answer to that question.
Akash Gupta: Thank you. And my second one is on your development pipeline. When I look at the amount, it’s down roughly 1-gigawatt sequentially and 2.2-gigawatt year-on-year. I see you got some orders, but just wondering if you can comment on has some projects dropped off from your pipeline? And maybe a follow-up to that on development is that we are hearing a lot of news about carbon-free electricity demand in the U.S. coming from data center customers and you have a very big development pipeline in North America. Have you been approached by some data center players on how you can help them provide clean energy given the long lead times for construction of data centers? And on that topic, could this be an area where you can get some large orders down the line? I know you don’t want to talk about the timing, but maybe irrespective of timing, would it be fair to assume some large orders from your American pipeline from data center customers over the time? Thank you.
Henrik Andersen: Thank you, Akash. No. I think, U.S., you are both in terms of development. I think you see that across a couple of key areas for us. You see it being used in Australia predominantly to the energy transition where they are replacing coal with green electrons in the U.S. storyline is exactly the same. It has been for now decades that you build up a more independent and base load from green electrons and renewable energy. There is a new, as I call it, almost a new demand in town, which, of course, is the change of data center and also the recognition of data centers when they change and become more related to AI. That has, of course, an increased demand in the U.S. It is also a pretty much a selective or exclusive discussion with the fewer players. So I think that is ongoing. And of course, we participate as part of the supply chain and the supply of either projects or turbines for doing it. So we are in close with that. I think it is building up, and you can see also here, Akash, that it’s across actually quite a number of varied energy sources. And for those who are interested in these things on the data center, it comes with a higher size of projects. It’s not the medium 150-megawatt or 200-megawatt as such. It’s bigger sizes we are after when we talk about building potentially new data centers closer to the source of energy. Timing of it, Akash, I won’t comment on it because when you now start combining both the demand and the supply in geographical areas, it just has quite a number of permitting and other parts that comes into the bucket of approvals.
Akash Gupta: Thank you.
Operator: The next question is from Max Yates from Morgan Stanley. Please go ahead.
Max Yates: Hi. Good morning. Just a quick question. Sorry to go back to the Service business. I’m just trying to reconcile. On the one hand, you seem kind of, at least my impression, reasonably downbeat on kind of it may take time to keep working through the Service business. You’re trying to get to grips with the cost. There isn’t that much clarity. And on the other hand, your guidance is assuming that in Service we go back to a completely normal sort of 21%, 22% margin. So I’m just trying to kind of reconcile how much visibility you feel you have on that margin or do you feel like there’s still a lot of moving parts. And I’m just trying to sort of reconcile why the kind of fairly bullish guidance on the fourth quarter with your commentary, which seems to suggest there’s still a huge amount of uncertainty on that number.
Henrik Andersen: I don’t think whether you take our tone of voice, and of course, that’s always the same. We are doing diligent work, Max, with it. It’s also, as I always say, in a business that does a little less than a €1 billion per quarter, that means 1% is the usual €10 million. So that has a deviation to it that if you ask me today and saying, can you specifically say on a percentage for Q4, the honest answer is I don’t know. I know the level of it because it is not within 1 percentage. You can predict that a quarter ahead. We are working through it, and I think we know where some of the challenge we have addressed that, and we expect our team and there are a normal leadership team, and there are also five regions that are working through it. And of course, there is a tight discipline around how they work through it. That’s the one thing I will say. So upbeat in one hand, yes, but also still quite disappointed that we let ourselves down into the business. So that’s a first. I can promise you we do everything we can to get on top of it across the world and that also has the reflection we talked you through today.
Max Yates: Okay. And maybe just a quick follow-up on sort of cost indexation in the Service business. I mean, obviously, there’s a huge amount of cost, whether it’s transporting parts, wages. I mean, which costs are proving kind of particularly difficult to index and pass through to the customers, and kind of what is the reason for that not being a kind of more mechanical process? Thanks.
Hans Smith: I guess one of the things we discussed also at Q2 was the fact that we have seen salary, wages being above what we had anticipated, and clearly in Service, salary is an important part of the overall business model. So I don’t think it’s a big secret that this is in particular one of the areas right now where we’re seeing adverse developments compared to what we would have thought. That’s one thing that I would point to clearly as something that is driving some of these challenges.
Max Yates: But what do you index the wages off? Is the wage inflation not a number in itself and you pass that on to customers or does it not work like that, and it’s indexed off something else?
Henrik Andersen: But, I mean, this is, Max, also what we explained in Q2. When you have, to some extent, a disconnect between some of the local indexations of either CPI or even wage-related, but with certain groups of employees suddenly being awarded different wage percentages, you can go across the European continent right now, and there you will definitely see that the lower public inflation are being combined still with an expectation from certain groups of employees that have still higher wage expectations. That, of course, has to be managed, and I think, we have seen some of that coming through in the last 18 months and that’s what we are adjusting to.
Max Yates: Okay. Understood. Thank you very much.
Operator: The next question is from Ben Heelan from Bank of America. Please go ahead.
Ben Heelan: Yes. Good morning, guys. Thank you for the question. Just a quick follow-up on Max’s question then around Service. You had some incremental charges, if you want to call it that, at Q3 on top of the charges that you had in Q2. My read from that is you’re going through these contracts basically one-by-one and assessing the assumptions on those quotes and adjusting all of the contracts at the same time. Is that a fair way of thinking about it and how far through the backlog of Service contracts you are in those inflation assumption adjustments that you’ve been making or any way to frame that kind of discussion? Thank you.
Henrik Andersen: Thanks, Ben. I think you can definitely assume there’s no assumptions or there’s no approach to living by higher level of averages. Yes, it’s into the business. It’s into the contracts. It’s also pointing towards normal coloring of where are the Service contracts in individual wind parks and that we are addressing as we speak. And that’s the level of details we have to get to. Having said that, it’s not a surprise, and all questions are right now focused on the cost. Fully appreciate that. But at the second -- at the other hand, you also need to appreciate every quarter you have a proportion of your Service backlog that comes either from renewable, repricing, re-discussing with customers. So there is also the discipline on the other side, which is the commercial discipline on either repricing or recasting or for that matter change of scope in some of the contracts and that’s down to customers. And of course, then there is the one which I think we have unfortunately done a reasonable amount of training and practice in for also the Power Solution, simply opening things if it doesn’t perform accordingly to the plan and the agreement we had with customers. And that, of course, give rise of those three pockets we are addressing as we speak. But as you can imagine, that is a detailed work and we need to have all hands on deck on that.
Ben Heelan: Very clear. Thanks, Henrik.
Operator: The next question is from Sean McLoughlin from HSBC. Please go ahead.
Sean McLoughlin: Thank you and good morning. Just coming back to warranty provisions, the offshore-related provisions, what do they relate to? Is this a component? Is this a manufacturing fault? Is this an installation issue? I guess, I’m looking for reassurance that this is a one-off or how should we think about the potential for serial issues in offshore and what kind of maybe incremental analysis or scrutiny, to use that word again, are you taking as a, let’s say, in the context of this provision? That’s the first question. Thank you.
Henrik Andersen: Sean, I will answer by straight pointing you towards the provision and the LPF slide, which basically says it’s so specific in this that it’s a deliberate component on two sides. It cannot be more specific than that. So, therefore, it’s -- as I said, if you want more, then you’ll have to come and work with me to know the inside of it, because it is two sides. That also means it’s probably either one or two customers and both customers we are fully discussing this with, but we should not do replace and repair in full public. We do what we do and we do it with customers. But in this case, it’s not a serial or design mess-up. It is part of a bet and we are replacing that component, but it’s, yeah, it’s tedious. It’s, yeah, not happy with it, but we can’t write it more specific than we are doing on the slide you just seen us do.
Sean McLoughlin: Thank you. The second question was around just coming back to the ramp-up challenges. I mean, what are potential implications for delayed delivery of first turbines from expanded facilities, both onshore and offshore?
Henrik Andersen: So, it all comes down to end of the day on tag time on assets that comes out. And of course, when you onboard that number of people, there will be an effect that you don’t run the most efficient tag time in the first month after you have split into two new shifts. So, what we are just saying here, that then has to come through the tag time again and that is almost like starting a bit from scratch again. You then start with the same shifts once again. You need to do some training and then you need to come and see that the tag time then improves on it. So, it is normal manufacturing theory and it’s normal manufacturing practice. It just takes time. But, as I said, we were there when we ramped capacity off. That’s a hard one because you say goodbye to that many former good colleagues. This is a positive version of the same, but it’s just, even though it’s a positive, it just comes with some additional both time and cost to what, of course, we are seeing. But, as I said, rather take extra couple of quarters to do the ramp correctly than sitting here and apologizing for it in six or eight quarters because that we can’t do.
Sean McLoughlin: Very clear. Thank you.
Operator: The next question is from Casper Blom from Danske Bank. Please go ahead.
Casper Blom: Thank you very much and I have two questions also. The first is a bit of a follow-up to the question in the beginning of the call regarding potentially higher tariffs in the U.S. and I don’t want to speculate on what could happen, but rather if you could sort of comment to what degree you have sort of built such potential situations into your contract. And I’m thinking specifically about all the many orders that you received in the U.S. from Q4 last year and onwards. Are there in those contracts mechanisms that helps you mitigate potentially higher trade tariffs into the U.S.? And secondly, also on Service, I’m sorry about that, but maybe if you could sort of try to outline how you want to get the Service margin up to 25% again. You repeated that target in connection with Q2. I’m fully understanding that it’s probably not something we’re going to see tomorrow, but any reflections on how you would like to get there? And also to what degree your current assumptions within percentage of completion accounting is based on getting to that 25% within sort of a reasonable time period? Thank you.
Henrik Andersen: Thanks, Casper. I will start with tariffs first. Tariffs is, again, as you are rightly saying, it’s a bit of a question mark in the open on a day like today because who knows? But I think here in the last at least couple of years, the world has become different in terms of tariffs. It’s not a surprise that when tariffs come these days that it hits or it eases. In that sense, there’s not many eases going on. But when it comes, it’s a legislative change, which typically will be discussed on the projects. You can also see even Europe has started to do some of that. So I think it’s part of the new world, and therefore, there is a trigger discussion with customers on it and also potentially how to mitigate it. Because don’t forget, tariffs seems to be targeted at single countries of origin rather than as a global supply chain. Our job together with the customer is to try to mitigate any tariff impact to the largest extent. Otherwise, if we can’t here, I think, we learned a couple of lessons on that in the past. And then on the Service side, about getting to 25%, there’s nothing in how we work. I think it almost reminds me when I answer this a bit on how we have answered the Power Solutions and the business towards its 10%. When you look at Service, one thing we can say today, it doesn’t have the operational efficiency we probably expected. That we are, of course, putting in place and addressing. I think when we look at the business, it has both the scale, it has the network across the world to be that part of the business. And as part of also this is we are pricing and commercial on both the parts, the data and others that supports 25% or more. Then just a little sort of heads up here also, when we have seen the LPF running at 3% and above, that is not supportive for the Service business because you have to do quite a number of warranty related activities that also hinder the efficiency of the business overall. So with bringing the LPF down below 3% first and then towards the 2% area, that of course, will also help the Service business approaching 25% again, because you simply don’t have the extraordinary things you impose on the Service business as such. So there’s a number of levers, but you cannot use those levers proper if you don’t have your own operational efficiency and that has to be the first gate we pass.
Casper Blom: I completely understand that and value the comments. But on the tariffs, if you could just be sort of specific, do you have mechanisms in contracts that would sort of pass on those additional costs to your customers? I understand that together with the customer you’ll try to mitigate, but do you have the clauses that will sort of leave you neutral to it?
Henrik Andersen: Casper, we have clauses that takes change of legislation and other stuff, but I simply don’t know in what format it comes. Therefore, I cannot answer yes or no 100% to you. I simply can’t because I don’t know what format it comes. Is it a tariff direct on a component, is it a raw material or is it an isolation on something? The world has become more. We have clauses that forces that, but it’s not always a clause which says you pay 100% of whatever price increase or tariff increase we get. But it’s in there because we learned from the past. Don’t forget in 2019, we had quite a number of increases on tariffs literally overnight and we have had that in the years before. We also had it in the last four years in the current U.S. administration. So we learned our way around it. But to say 100% -- it’s in a 100% pass-through, I simply can’t say yes to Casper. And you wouldn’t expect me to do because with that backlog, I can’t say that all projects have been scrutinized to answer that 100%. There is a standard and that we live for, but I can’t say if there is somebody that has compromised that in there.
Casper Blom: Thank you very much, Henry.
Operator: The next question is from Colin Moody from RBC Capital Markets. Please go ahead.
Colin Moody: Hi there. Thanks for taking my questions. Just a wider comment on the pricing environment. Is this still overall supportive and still net positive after inflation? I’m referring specifically to the Power Solutions business. And then I noticed on Slide 5, you say that specific components are jumping in price. I just wonder if you could give any detail as to what they are or why they’re jumping. And I presume kind of per your comment, you don’t typically have specific coverage for specific components. It’s typically more kind of raw mat indexation? Thanks.
Henrik Andersen: Thanks, Colin. And I will suggest we take you and one more and then we finish the Q&A. But coming back to the pricing, I think there’s two questions in it. On the pricing on our solutions, they are stable to positive. And I think here for us, it’s also the other positive. It’s in our core and key markets where we are having order intake and that, of course, we are pursuing. We don’t compromise and we haven’t compromised the heading of the commercial discipline. But at the same time, also engaging, closing with partners to get the right solutions, which relates back to Akash’s point. How do we link some of our orders also to the offtaker much more specifically in today’s world? On the component side, I think you’re talking to some of the things which sits within the value chain. Because when you have had also in the value chain some weights increase, of course, the weights increases to some extent comes back in also underlying component inflation. So therefore, for us, it might not be us that has the weights inflation, but it might be that it’s our partner in the components that have had a weights increase, which of course, gives us some variations in the components. And for us, the good thing is, as everyone can see from the order backlog, we are ramping up volume and we are ramping up that. So of course, there is also another way of -- so we had our main global partners in the supply team together just two weeks ago, and I think, also there we can now see it’s coming back and people are actually pretty positive of working with us to mitigate those to the largest possible extent. But it is a variable degree, and even in some places, Colin, you will see that there are tariffs that also hit some of the components we then have to find mitigations to.
Colin Moody: Great. And just to clarify, I guess on the Service business, again, to clarify on the price side rather than the cost side, am I right in understanding that you’re still at very early stages in terms of contract renegotiations and opening up these contracts, so something to look forward to going forward?
Henrik Andersen: That will be as an ongoing, which is the usual thing. So there is a sharpened attention to commercial details in when something comes to maturity and renewal. But then on the other hand, there is also the other thing where if you have something that simply doesn’t stack up anymore, then it’s also an ultimate contract termination because we’re not going to sit here and deliver Services, or for that matter, components, spare parts for free or even with a red number. That’s not the whole aspect of this.
Colin Moody: Understood. Thanks.
Henrik Andersen: And then with the last question, Operator.
Operator: Today’s last question is from William Mackie from Kepler Cheuvreux. Please go ahead.
William Mackie: Thank you for squeezing me in and good morning to you all. So I just want to try and see if you can frame the challenge with Service would be the first question. We’re looking at or you’re managing 154 gigawatts of power. Are you sort of prepared to say this is actually issues that are ongoing in pockets of that portfolio or is it a widespread problem? And then more importantly, what actions have you been able to accelerate or reorganize to get on top of this journey of resetting the price cost balance and how long that journey is going to take to start getting back into the legacy sort of profitability we’ve seen in Service?
Henrik Andersen: Short one, we already hinted that, EMEA and Americas. And that is not a general problem statement for these areas. It is Central to a Northern part of Europe and it is in Americas across both U.S., Canada and to some extent also in Latin, but specifically on business sides of those countries. We are addressing that as we speak. And some of it is always coming down to have you been enough on your discipline with some of the cost and cost allocated into the business. And where we’ve seen it’s not been the case, that’s also where people are being reminded now on a frequent basis and that we are addressing. And I think we’ve gone a long way into that, and we’ve gone a long way into having both data but also the proper organizational discussions around how to readdress that. And then, of course, well, it has to be that it is also balanced between not only the cost, but it is also the commercial setting of what is the Service contract. So I absolutely want to also hear again it’s a good business, but it has pockets right now where we need to show that we can bring ourselves back in the operational control.
William Mackie: Thank you. The second question, I mean, you’re sitting with a great, incredible backlog of 27 gigawatts looking out into next year and beyond to fulfill and deliver and you’ve got an element of price carryover as well that we’ve seen evolve well in Q3. Can you share, I know you’re probably reluctant, but share at least some qualitative thoughts about how we should frame the prospect for volume growth in delivery, given the visibility that you have on the backlog in 2025 on 2024, just broad terms?
Henrik Andersen: I think on 2025 we’ll say something when we get to February. I think it’s not a surprise that we see generally an underlying growth coming, and I think, this quarter is a good hint. It’s 19% higher than it was four quarters ago, partly by activities, but also partly by some of the pricing mechanism that is now coming through. With a backlog of €28 billion plus, I must say it finishes a bit like a journey and job completed in the sense of that when we’re out of this year, we got some of the prior mid-year 22 projects out of the backlog and that will sustainably bring a different profitability of the Power Solution. So that’s the good thing. I won’t give you neither sort of a volume or an EBIT on that, but we can now see with the improvements we are having quarter-on-quarter that it is -- that trajectory we’re looking into.
William Mackie: Thank you very much.
Henrik Andersen: Okay. Thank you, everyone, for doing this. I’m pretty sure when we meet any of us tomorrow morning we can pan out in terms of numbers in the U.S., but besides that, we look forward to meet many of you over the coming days. Thank you for your interest and speak soon.